Operator: Greetings. Welcome to Take-Two Interactive's First Quarter Fiscal Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Nicole Shevins, Vice President of Investor Relations and Corporate Communications. Thank you. You may begin.
Nicole Shevins: Good afternoon. Thank you for joining our conference call to discuss our results for the first quarter of fiscal year 2024 ended June 30, 2023. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session, following our prepared remarks. Before we begin, I'd like to remind everyone that statements made during this call that are not historical facts are considered forward-looking statements under federal securities laws. These forward-looking statements are based on the beliefs of our management, as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent Annual Report on Form 10-K and Quarterly Report on Form 10-Q, including the risks summarized in the section entitled Risk Factors. I'd also like to note that, unless otherwise stated, all numbers we will be discussing today are GAAP and all comparisons are year-over-year. Additional details regarding our actual results and outlook are contained in our press release, including the items that our management uses internally to adjust our GAAP financial results in order to evaluate our operating performance. Our press release also contains a reconciliation of any non-GAAP financial measure to the most comparable GAAP measure. In addition, we have posted to our website a slide deck that visually presents our results and financial outlook. Our press release and filings with the SEC may be obtained from our website at take2games.com. And now, I'll turn the call over to Strauss.
Strauss Zelnick: Thanks, Nicole. Good afternoon, and thank you for joining us today. I'm pleased to report that fiscal 2024 is off to a strong start, highlighted by first quarter net bookings of $1.2 billion, which was at the high end of our expectations, and management results were in line with our plans. Grand Theft Auto Online and Grand Theft Auto V, and NBA 2K23 exceeded our projections, which illustrates the long-lasting benefits of producing the highest quality offerings and amassing one of the strongest and most diverse portfolios in entertainment. In keeping with our core values of creativity, innovation, and efficiency, this quarter, we introduced new intellectual properties, advanced the development of our eagerly anticipated pipeline, and maintained our vigilance with cost management initiatives across our organization. Turning to the results from our titles for the period. Grand Theft Auto V continued to outperform and to date, the title has sold-in more than 185 million units. On June 13, Rockstar Games launched San Andreas Mercenaries for Grand Theft Auto Online, which offers six new major story-based missions, as well as new Los Santos operations, Hangar upgrades, Smuggler Source and Sell Missions, seven new vehicles, and more. The update also includes a range of fan-requested experience improvements, as well as the Career Progress feature, offering players a new way to track their progression across criminal careers and claim rewards. San Andreas Mercenaries continues to deliver high value content post-launch using a phased approach that is driving sustained engagement and Recurrent Consumer Spending. This June, Grand Theft Auto Online recorded more players than any other June in its history outside of the height of the pandemic. GTA+, Rockstar’s premium membership service for GTA Online on PlayStation 5 and Xbox Series X and S, offered exclusive options for members to test drive and purchase an array of vehicles, and we are continuing to see strong growth in GTA+ adoption with each passing quarter. We were pleased with the performance of Red Dead Redemption 2, which has sold-in more than 55 million units to-date. Rockstar Games continues to support Red Dead Online with new bonuses and rewards, including free apparel inspired by the RedDeadFashion subreddit, and seasonal content such as April’s Condor Egg Freemode Event. NBA 2K23 exceeded our plans and the title has now sold-in over 13 million units, representing a 11% year-over-year growth, driven by higher demand, especially on Gen-9 consoles, as well as a more tailored promotional cadence. This incredible performance marks the title’s second-highest sell-through ever -- with only NBA 2K20 achieving higher unit sales. Engagement with NBA 2K23 remains strong, with approximately 2.6 million Daily Active Users delivering Recurrent Consumer Spending that exceeded our expectations. Our franchise extensions with the NBA continue to perform extremely well and NBA 2K23 Arcade Edition remains one of the top games on Apple Arcade. WWE 2K23, which is the highest-rated game in our wrestling franchise’s history and the second highest-rated sports simulation title of the year, experienced strong engagement throughout the quarter, with players logging nearly 22 million hours of gameplay and facing off in 170 million matches. 2K and Visual Concepts continue to support the title with a series of 5 DLC packs that can be purchased individually or as part of a Season Pass. 2K also continues to support PGA TOUR 2K23 with additional pros, courses, and Clubhouse Passes. In May, 2K and Visual Concepts launched LEGO 2K Drive, the first game in a multi-title partnership between 2K and the LEGO Group. Following the launch, our teams released the first of four Drive Pass Seasons for the title, which features 100 levels and new content inspired by the Fast and the Furious Saga. Also in May, Private Division and Piccolo Studio launched After Us on PlayStation 5, Xbox Series X and S, and PC, which has been praised by critics for its striking visuals and game world. Zynga had a solid start to the year, performing in-line with our plans, and we are pleased with the ongoing progress of our mobile business. Ad revenue grew approximately 11% year-over-year, driven by the addition of Popcore and our ability to open new inventory supplies in our portfolio. Toon Blast has been introducing strong feature releases such as the Toon Race event, which drove outperformance versus our forecasts and helped the game recently surpass $2 billion in lifetime gross bookings. We made excellent progress on our profitability initiatives in mobile. We expanded our offerings on our direct-to-consumer platforms and continue to believe that, over the next few years, the majority of our mobile games will leverage our highly-profitable, proprietary distribution channel. We continue to enhance the performance and profitability of our hyper-casual business, with multiple new games scaling quickly and several titles generating bookings from in-app purchases in addition to ads. A few key highlights of Zynga’s live services during the period include: Empires & Puzzles grew quarter-over-quarter, driven by the new Path of Giants battle pass featuring daily and weekly challenges to unlock rewards. Rollic’s Twisted Tangle reached the number one Free Game spot on the U.S. Google Play store. Social Casino again delivered strong results, driven by Hit It Rich's best quarter in two years, and Game of Thrones Casino’s second best quarter in its history. Casual games continued to improve participation and engagement, with Words With Friends launching the new Club Daily Puzzle and Harry Potter: Puzzles & Spells adding Bonus Levels and Special Delivery prize events. With numerous games in development and soft launch across Zynga’s studios, we are excited to start delivering several new offerings in the coming months. Turning to our outlook, we are reiterating our prior guidance of $5.45 to $5.55 billion in net bookings for fiscal 2024. We remain highly optimistic about our future and our ability to deliver record results in the coming years. Lainie will provide more details on our outlook shortly. In closing, as we continue to execute our strategy, we believe that we can increase significantly our scale and prominence within the industry, grow margins, and pursue the vast opportunities to engage even larger audiences around the world. Led by the passion, creativity, and innovation of our world-class development teams, Take-Two is in a powerful position to set new benchmarks for our player communities, which we believe will drive long-term returns for our shareholders. I will now turn the call over to Karl.
Karl Slatoff: Thanks, Strauss. I’d like to thank our teams for a strong start to the year. Turning to our announced launches for fiscal 2024. Yesterday, Rockstar Games announced that the beloved Western experiences, Red Dead Redemption and Undead Nightmare would be coming to the Nintendo Switch and PlayStation 4 for the first time in a new single package, arriving August 17. In a new conversion by Double Eleven Studios, the Switch and PS4 versions bring the two classic experiences together again for new players and original fans to enjoy across modern consoles, including backwards compatibility with the PlayStation 5. On September 8, 2K and Visual Concepts will celebrate the 25th anniversary of our industry defining NBA 2K series and once again redefine basketball simulations with the launch of NBA 2K24, featuring the iconic Kobe Bryant as the game’s cover athlete for the second time in the history of the franchise. Players will be able to celebrate Bryant’s legacy and replicate his skills in the brand-new Mamba Moments mode. Players in the U.S. and Canada can also purchase the WNBA Edition of the game exclusively at GameStop, featuring WNBA All-Star Sabrina Ionescu, as this year’s cover star. NBA 2K24 will introduce cross-play, a community requested feature for PlayStation 5 and Xbox Series X and S. Available in every multiplayer mode, players will be able to compete with or against others from around the world in dynamic co-op matches, thrilling online tournaments, or casual pick-up games between new generation consoles. The title will also introduce ProPLAY, a groundbreaking new technology that directly translates actual NBA footage into gameplay. 2K will have more to share on NBA 2K24 in the coming weeks. In addition, 2K and Visual Concepts remain hard at work on WWE 2K24, the next installment of our popular wrestling series, which set new creative and critical benchmarks with last year’s highly successful release. In June, Private Division and Evening Star announced Penny’s Big Breakaway, a new 3D action platformer from the team behind Sonic Mania. This kinetic yo-yo adventure is expected to launch in early 2024. Zynga’s Star Wars: Hunters, which offers players the opportunity to join the greatest hunters from across the Star Wars galaxy is expected to launch later this fiscal year. Players will engage in thrilling third-person combat in a range of competitive game modes across battlegrounds from the iconic worlds of Star Wars. Also in mobile, Social point’s latest game, Top Troops, a medieval fantasy-themed title in the PvP merge genre is progressing well in soft launch and is expected to launch worldwide this fiscal year. In addition, our hyper-casual studios will release a steady cadence of mobile titles throughout the year, focusing on games that have the potential for enhanced retention rates and a mix of in-app purchases and advertising to drive higher monetization and profitability. Our labels will also continue to provide new content and experiences that drive engagement and recurrent consumer spending across many of our offerings, including Grand Theft Auto Online, Red Dead Online, WWE 2K, LEGO 2K Drive, PGA TOUR 2K, Kerbal Space Program 2, and Zynga’s mobile portfolio. Throughout fiscal year 2024, we look forward to launching additional releases from what we believe to be the strongest and most exciting development pipeline in our company’s history. I’ll now turn the call over to Lainie.
Lainie Goldstein: Thanks Karl and good afternoon everyone. Today, I’ll discuss the key highlights from our first quarter before reviewing our financial outlook for the full year and second quarter of fiscal 2024. Our combination with Zynga closed on May 23, 2022, which affects the comparability of our results relative to last year. Additional details regarding our actual results and outlook are contained in our press release. We had a strong start to the fiscal year, powered by our portfolio of iconic, industry-leading intellectual properties. As we approach our next phase of growth, our teams continue to make excellent progress advancing our development pipeline and capitalizing on our revenue-driven opportunities and synergies. We also partnered together to maintain our focus on efficiency amidst the challenging macroeconomic backdrop and cautious consumer spending trends. I’d like to thank our incredible teams worldwide for their determination and passion for our business. Now, moving onto our results. We achieved net bookings of $1.2 billion, which was at the high end of our guidance range. In the current backdrop, many consumers are purchasing established franchises and those that offer great value, and our catalog stands at the intersection of these two trends. Accordingly, our performance reflects better-than-expected results from Grand Theft Auto Online and Grand Theft Auto V, and NBA 2K23. During the quarter, we launched Marvel’s Midnight Suns for Gen 8 consoles, Lego 2K Drive, and After Us. Recurrent consumer spending rose 38% for the period, which was above our outlook of 35% growth, and accounted for 84% of net bookings. The outperformance was primarily driven by Grand Theft Auto Online and NBA 2K23. GAAP net revenue increased 17% to $1.28 billion and cost of revenue increased 39% to $606 million, driven by $187 million of amortization of acquired intangibles. We also recorded an impairment charge of $18 million, related primarily to capitalized software and development costs for an unreleased title, which affected our management results compared to our guidance. Operating expenses increased by 25% to $883 million. On a management basis, operating expenses grew by 46%, which primarily reflected a full quarter of Zynga, higher personnel costs, and depreciation related to office buildouts and capitalized IT expenses. Turning to our guidance, I’ll begin with our full fiscal year expectations. As Strauss mentioned, our business is performing well, and we are reiterating our net bookings outlook range of $5.45 billion to $5.55 billion. Largest contributors to net bookings are expected to be NBA 2K, Grand Theft Auto Online and Grand Theft Auto V, our hyper-casual mobile portfolio, Empires & Puzzles, Toon Blast, Merge Dragons, Words With Friends, Red Dead Redemption 2 and Red Dead Online, and Zynga Poker. We expect the Net Bookings breakdown from our labels to be roughly 51% Zynga, 30% 2K, 17% Rockstar Games, and 2% Other. And, we forecast our geographic net bookings split to be about 65% United States and 35% International. We continue to forecast recurrent consumer spending growth of 5% compared to fiscal 2023, representing 78% of net bookings. Mobile trends are projected to remain stable, with Zynga’s ad business continuing to deliver growth. We expect to generate approximately $100 million in non-GAAP adjusted unrestricted operating cash flow, and deploy approximately $180 million for capital expenditures, primarily to support our office buildouts and larger footprint. We continue to expect GAAP net revenue to range from $5.37 billion to $5.47 billion. Our total operating expenses are expected to range from $3.38 billion to $3.4 billion as compared to $3.45 billion last year. On a management basis, our operating expenses are expected to grow by approximately 15% year-over-year, due primarily to a full year of Zynga, an increase in personnel and marketing expenses, and higher depreciation of office buildouts and capitalized IT expenses, which are being partially offset by the realization of synergies from our combination with Zynga and savings from our cost reduction program. As we announced previously, our teams are taking extensive measures to review our cost structure and reduce discretionary costs whenever possible to offset the current consumer backdrop and inflationary environment, while still investing for growth. Now moving onto our guidance for the fiscal second quarter. We project Net Bookings to range from $1.4 billion to $1.45 billion, compared to $1.5 billion in the second quarter last year. Our release slate for the quarter includes Red Dead Redemption and Undead Nightmare for Switch and PlayStation 4, and NBA 2K24. The largest contributors to net bookings are expected to be NBA 2K, Grand Theft Auto Online and Grand Theft Auto V, our hyper-casual mobile portfolio, Empires & Puzzles, Toon Blast, Words With Friends, Merge Dragons, Red Dead Redemption 2 and Red Dead Online, and Zynga Poker. We project recurrent consumer spending to decline by approximately 7%, which assumes modest declines in our mobile business; NBA 2K, driven by changes to its summer promotional cadence; and Grand Theft Auto Online; as well as a reduction in DLC revenue from several titles that were released in prior years. We expect GAAP net revenue to range from $1.26 billion to $1.31 billion. Operating expenses are expected to range from $811 million to $821 million. On a management basis, operating expenses are expected to grow by approximately 5% year-over-year, driven by last year’s acquisition of Popcore and higher personnel costs, which are being partly offset by the Zynga synergies and our cost savings initiatives. In closing, we are confident that the actions our teams are taking this year are preparing us for a strong trajectory of growth. Through our collective efforts, we continue to believe that we are positioning our business for a significant inflection point in fiscal 2025 that will culminate in us delivering new record levels of operating performance next year and beyond. We thank all of our stakeholders for their continued support, and we look forward to delivering on this exciting next chapter. Thank you. I’ll now turn the call back to Strauss.
Strauss Zelnick: Thanks, Lainie and Karl. On behalf of our entire management team, I'd like to thank our colleagues for delivering a strong start to the fiscal year. And to our shareholders, I want to express our appreciation for your continued support. We'll now take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Andrew Uerkwitz with Jefferies. Please proceed.
Andrew Uerkwitz: Yeah. I just have -- I just had one question. Lainie called out consumer weakness kind of continuing. Could you just give an update on where you think the consumer is at. Is there a particular segment that's weaker than others? Just kind of an update on where you think the consumers are today. Thank you.
Strauss Zelnick: Yeah. I mean I love that people are debating whether we're going to be in a recession from the point of view of a digital entertainment company, we've been in a recession for the better part of 18 months. The market for interactive entertainment was down meaningfully in 2022, down for the first time in the history of the mobile business over 10%, pretty much across the board. Things are looking a lot better. The year-over-year comps have stabilized. We're seeing growth in the console market. It's early, but we are seeing some growth. Mobile sort of flat, slightly down. We hope that will improve. I do feel like we're all seeing some green shoots across the economy. But it definitely is a mixed picture depending on the U.S. So in the context of the entertainment business, live entertainment is doing great. But in the context of entertainment that people consumed at home during the pandemic, it's been challenging for a while. And again, I think it's beginning to normalize, but it's early days yet. When asked a couple of calls ago what I thought would happen in the economy, I said that I thought it would bottom out in June, July. And that by the end of calendar '23, we begin to see some good news and then we'd be in reasonably good position from an economic point of view in early '24, and I continue to believe that that's what will happen.
Andrew Uerkwitz: Got it. And then just one quick follow-up on that with -- around media, I guess, if Hollywood stays in a recession, is that a positive, negative or does it not matter for video games?
Strauss Zelnick: Look, we live within the entertainment ecosystem. So we would never wish for any other industry to have a problem. But if the strike means that new content can't be delivered, then I suppose it could be some small positive benefit for our business. But we aren't counting on that. We're certainly not hoping for it.
Andrew Uerkwitz: Got it. Thank you so much guys. Appreciate it.
Operator: Our next question is from Eric Handler with ROTH MKM. Please proceed.
Eric Handler: Good afternoon and thank you for the question. Strauss, I wonder if you could just talk about with mobile advertising how much -- how many of your games beyond the hyper casual business have integrated advertising now?
Strauss Zelnick: Some, and we are moving in that direction selectively. Look, historically, for games where you could make in app purchases, less than 10% of the audience actually spent. So we are fielding a game for 100% of the audience and monetizing 10% or so, perhaps a bit more often a bit less. And it's our view that we ought to be monetizing 100% of the audience. So if someone's going to spend, that's great. And if they're not going to spend, then we ought to be able to monetize through advertising. The question is how do you do that and create a high-quality experience. And I think the answer is we can do that. We can distinguish among those audiences. We're not there yet, but I think we're moving in that direction.
Eric Handler: Thanks. And just as a follow-up, I wondered if you could -- willing to give any specifics about how much of the mobile revenue at this point is on the DTC platform and how that's progressing?
Strauss Zelnick: So we don’t actually give out that percentage. Some of our competitors do. And so one of our biggest competitors, I think, has gone on the record to say it’s about 25% and I think that’s a good number. We’re not remotely in that vicinity. There’s plenty of room for growth. I would note that Zynga’s advertising net bookings were up 11% year-over-year. So it’s really good news. And we’re really happy about the growth of our direct-to-consumer platform and what that can mean for consumers and also for us.
Eric Handler: Thank you.
Operator: Our next question is from Matthew Thornton with Truist Securities. Please proceed.
Matthew Thornton: Hey. Good afternoon, Strauss, Karl, Lainie. Two quick ones for me. Last quarter, we talked about obviously achieving north of $8 billion in bookings next year and north of $1 billion in operating cash flow. I'm just kind of curious if those are still the right boggies for next year. And then just secondly -- and I apologize if I missed this. Any changes to this year? Is it slate? I saw we've got the $18 million impairment charge here. But I guess relative to where we were three months ago, is there any change to this year's release slate. Thanks so much.
Strauss Zelnick: So the answer to question one is, yes, and Lainie will answer question two.
Lainie Goldstein: Sure. So for question two, there has been some movements within the back part of the year within the slate, but we’re still able to achieve the same guidance for the year, so reiterating our guidance. So just some small changes within the slate, but it has nothing to do with the impairment charge. So the year is still the same.
Matthew Thornton: Perfect. Thank you.
Operator: Our next question is from Matthew Cost with Morgan Stanley. Please proceed.
Matthew Cost: Hi, everybody. Thanks for taking the questions. Maybe I'll start just by asking about mobile M&A. I mean that was historically a very big part of Zynga's business. It seems like the market may be starting to fall out there in terms of deal activity after the three for the past year or two. I guess do you see an opportunity to lean back into M&A at the Zynga business number one. And then number two is just, Lainie, you mentioned in the prepared remarks that some changes to the promotional cadence for NBA 2K. I was wondering if you could just give a little more detail about what those changes are and the size of the financial impact? Thank you.
Strauss Zelnick: So on the deal side, it's hard to know. In terms of our strategy, we think we're in a position to grow organically. We have a lot of new releases coming from Zynga. We're really excited about them. As you know, hit ratios are very low in the mobile business. So we're not claiming success until it occurs. But we do feel really good about some new launches. And in terms of the promotional cadences.
Lainie Goldstein: So on NBA 2K 24, we expect to be up from 2K23 -- but 2K23 versus 2K22, there is some less promotional timing in this quarter versus what we did with 22 last year. So that's why we expect the title to be a little bit down versus last year.
Matthew Cost: Thank you.
Operator: Our next question is from Doug Creutz with TD Cowen. Please proceed.
Douglas Creutz: Hey. Thanks. You alluded to this a little bit earlier, you and others have talked about how difficult it is to launch a new mobile title these days. We did see, however, a few months ago, competitive of yours launched scope we launched MONOPOLY GO, which is shot to number one in the App Store charts rapidly, has had a lot of success. As you have observed that, is there anything that you would sort of any lessons you would draw from their success that you think could -- you could apply to your own games that you have coming out soon?
Strauss Zelnick: Look, I think it's an established intellectual property that's been known and beloved for a very long time. And if you combine that with a high-quality expression, I think you can do very well. We don't -- we obviously don't know what they're spending to be in the position that they're in. I do know that we're very focused on profitability. So we're being careful to make sure that our user acquisition spending reflects a high lifetime value for our customer.
Douglas Creutz: Okay. Thank you.
Operator: Our next question is from Eric Sheridan with Goldman Sachs. Please proceed.
Eric Sheridan: Thanks so much. Maybe just one bigger picture question. As you continue to sort of integrate Zynga moved further away from the acquisition. Curious your updated thoughts on how you're thinking about elements of AAA titles having sort of cross-promotion, cross-play across elements of console and mobile and how that might inform some of your development cycles in the next couple of years or some of the pipeline dynamics that fed back into some of the bookings longer-term framework from last quarter. Thanks so much.
Strauss Zelnick: We continue to believe there's an opportunity there. We do have titles coming that will offer an opportunity to engage on console and also in mobile. We don't think it's something that you have to offer, each title will stand alone. And a question you didn't ask, but we've also discussed the possibility of creating new mobile titles based on core Take-Two intellectual property. And that's something that we're also potentially excited about. In all instances, the consumer experience, the quality of the title is what governs, not the business model. So we have to create something great that consumers want. If we do, they'll show up and if we don't, they won't.
Eric Sheridan: Thank you.
Operator: Our next question is from Mario Lu with Barclays. Please proceed.
Mario Lu: Hey. Thanks for taking the question. The first one is on NBA 2K. You guys mentioned the upcoming cross-play feature was largely asked on by the community. So that being said, curious if there's any data points you could share in terms of how impactful this speech will be in terms of user engagement or recurrent consumer spending? And then is there any reason why it was not included on PC in the last June?
Karl Slatoff: So this is Karl, Mario. So look, we're very excited about cross play. It's something that our customers have been asking for and something that's natural for NBA. So obviously, we don't do anything in -- we don't put any new boats into a game unless we think that's going to have a significant impact on the experience for the consumer. That's something the consumer is going to love. And as end up leading to increased engagement. And obviously, as we say, when you get increased engagement, you get increased monetization and then everyone's happy in that regard. So all of these decisions are economic decisions, but it starts off first with the experience itself. And at this point, we're very confident that 2K is tracked and not on cross play experiences, and we're looking forward to that. And as it relates to PC and Ogan (ph) in terms of -- it's really just again allocation of resources, these decisions.
Mario Lu: Got it. That makes sense. And then just on a separate note, in terms of the topic of charging a higher price for users to get access to a game like early access during the launch, I noticed it wasn't included NBA 2K preorder pricing. Is this an opportunity in the future or is just something you guys opted out of? Thanks.
Karl Slatoff: Yeah. We have – most of – it’s funny you say a higher price because when we have some early access games in the market right now, we typically would offer them at a lower price because it would imply that there’s more to come in the game, and it’s not necessarily the final version. We have seen the early access models out there in terms of holding back access and making people pay more for earlier access – that’s not something that we’ve done to date. I would never say never. But honestly, that’s a marketing decision. And our priority is really making sure that the game comes out, comes out in a timely fashion as the best experience possible. That’s something that makes sense. So it’s down the line, we could experiment with it. But to date, that has not been something that we’ve looked at.
Mario Lu: Got it. Thank you.
Operator: Our next question is from David Karnovsky with JPMorgan. Please proceed.
David Karnovsky: Thank you. Just on the bookings by label, I wanted to follow up on the guidance for Zynga. I think that's down slightly on the maintained bookings figure. So I wanted to see if you could walk through the adjustment there. And then sticking with mobile, you talked about hyper casual focus on releasing games that retain better, have a higher mix of IP spend. Just wanted to see if you could unpack the thinking behind the strategy there, what the traction has been and maybe how that impacts the ad revenue potentially from Rollic and Bapcor. Thanks.
Lainie Goldstein: So for the bookings for Zynga for mobile, there are some game shifts within the year. So there was some reforecasting of some of the existing games, and that's what has changed within mobile.
Strauss Zelnick: And then in terms of the hyper casual business, what we've seen is that there are some gains, particularly with the acquisition of Bapcor that are a bit stickier than the typical hyper casual business. And they have the opportunity to engage consumers for longer periods of time and also potentially lead to not just necessarily monetizing through advertising, but also monetizing through in-out purchasing. So we're starting to see that. We're starting to experiment with that. And we think that there's a market there for us. I think that people have been -- we've been calling is the hybrid casual market where you have the ability to not only monetize with advertising, but also in out purchases just because the experiences are a bit deeper and they last a little bit longer. So we think that's very exciting. I don't know that it's going to necessarily impact the advertising opportunity overall, but it certainly creates new opportunities within that purchases for us.
David Karnovsky: Thank you.
Operator: Our next question is from Omar Dessouky with Bank of America. Please proceed.
Omar Dessouky: Hi. Thank you for taking question. So you didn't change your full year guidance. And I wanted to know, I think David Karnovsky asked the question and you talked about Zynga a little bit. I wanted to know what -- whether your implied like-for-like guidance on mobile has changed at all since the last time you guided. And then within that, do you expect advertising to grow on an organic basis, that is excluding Bapcor. And I have one more question.
Lainie Goldstein: So we just mentioned that Zynga has changed a little bit because there was movement in the release schedule and some updates to the forecast. So we did have some changes in the rest of the year. So there were some changes in the release schedule. So there were some ups and downs within the year. But overall, we've kept the entire year the same. So we were at the higher end in the first quarter, but we kept -- we reiterated the full year -- and then in terms of expecting advertising to grow, yes, we do expect it to grow in the full year.
Omar Dessouky: Organically?
Lainie Goldstein: Organically, yes.
Omar Dessouky: Okay. Great. And then the other part of the question I wanted to ask was in terms of your direct-to-consumer channel, I think Strauss said that the majority of mobile games in a few years will leverage that channel. So you have a lot of games. We've counted well over 100. Not all of them are your big winners. I think there's a long tail of games. So I guess I wanted to ask, is it that the biggest games -- the biggest games are going to be on your DTC platform or is it just the sheer number of games? Because I'm trying to get a sense of how much revenue could potentially flow through that channel, if you understand what I mean?
Strauss Zelnick: Yes, I do understand what you mean. It really varies game by game. So if the game is not suited to direct-to-consumer and it may not be because of its style, it's the interaction that consumers have with the title, then there may not be an opportunity even though it's a big title and then there are other titles where it's a terrific opportunity. Again, we haven't established a number that we're shooting for, but I did quote the number that a competitor has outlined. And I think that number is kind of the high end of the possibility.
Omar Dessouky: Thank you.
Operator: Our next question is from Mike Hickey with Benchmark Company. Please proceed.
Michael Hickey: Thanks, Strauss, Karl, Lainie, Nice quarter, guys. Thanks for taking our questions. Curious Strauss, sort of big picture -- pardon upon, Curious what you're thinking on film opportunity. I know you're not Trim bandwagon guy, so -- but maybe this isn't that hard not to notice the results here from Super Mario Brothers and The Last Of Us. And this is an area where historically, it's been a challenge for Game IP to have success in new mediums. It looks like the formulas kind of involved the creative piece to the original game and have great story lines. And when you look at your portfolio of IP, you've got a ton of opportunities. It would seem like you certainly have a creative talent, you definitely have a great storyline. So two questions on that Strauss. Curious if your creative teams are motivated to expand their IP into new entertainment mediums like film or streaming episodic content. And then curious if you think IP expansion into new beam-like film can sort of complement your growth strategy over the long term. Thanks, guys.,
Strauss Zelnick: Thanks, Mike. We think it's probably a relatively small opportunity economically. We're not going to use our balance sheet to invest in film and television projects. Those are typically very challenged asset classes with which I'm quite familiar. And to point out two success as notable as they may be, lies the fact that there are many, many failures where money was lost. So far, we've taken a very selective approach to licensing and we do have a Boelens (ph) movie coming from Lionsgate, and we have BioShock movie coming as well. We're excited about both. And selectively, we could see licensing in the future when there's a creative imperative and an economic opportunity. I think you're right. The reason there's been success lately was because you had great IP and then there was a great project that was made from it. And the reason you've had failure in the past is that the expression of the IP just wasn't very good despite people's best efforts. It's a really hard business. And we're not going to bet this company's future or the value of our intellectual property based on someone else's execution in another area of the entertainment business. So we'll continue to be very selective indeed. Even if we did take a broad-based approach -- in the absence of investing ourselves, the economic opportunity in the context of the much greater economic opportunity for our core business is limited.
Michael Hickey: Thank you.
Operator: Our next question is from Brian Fitzgerald with Wells Fargo. Please proceed.
Brian Fitzgerald: Thanks. Two quick ones. Strauss -- not to get wrapped around the axle with semantics, but you said, hey, we had a phased approach when you were talking about GTA Online. Anything to call out there is a difference or an evolution how you're marketing and delivering incremental content or now it's just more of the normal MO? And then second question is on NBA 2K23 added to PlayStation Plus game of the months, that kind -- that definitely contributes to strong engagement, but we're curious whether or not you also see a meaningful uptick in RCS there among those PlayStation plus players, point being, if they are waiting to engage with it once it's in subscription service. Is there a lower propensity to spend in the game or no, actually, we see an uptick in RCS there as well.
Strauss Zelnick: So on the first question, by phased approach, I was referring to delivering somewhat smaller chunks of really high-quality content as opposed to waiting for a longer period of time to deliver something that's much larger. And both approaches can work and of late, the phased approach has been working really well. However, there's not one right approach. It varies with what the team has in mind creatively at any given time.
Karl Slatoff: And then in terms of the things like subscription services or game in a month, where the consumer is necessarily buying the individual game. Obviously, we don't do these things unless we think there's a significant economic opportunity for us to do so. So you can -- if you see it going in some of those services, you can assume that, that math has been done. And yes, we do see an uptick in recurrent consumer spending generally because we bring a lot of new players. And those players are valuable players. And as long as they’re engaged with the game itself, the engagement is strong and the conversion to RCS is very strong. It’s all about – and again, it varies cohort to cohort and varies game to game. But if we do drive significant engagement from folks who are coming into the game, we are seeing very favorable reserves as it relates to monetization.
Brian Fitzgerald: Awesome. Thanks, Karl. Thanks, Strauss.
Operator: Our next question is from Benjamin Soff with Deutsche Bank. Please proceed.
Benjamin Soff: Hey, guys. Thanks for the question. Just wanted to dig back into the revenue breakdown by studio. It looks like the percentage for Rockstar and other went up. And I'm just wondering if that's a function of sheer shift from the things you talked about with mobile or if your expectations for those segments that actually improved? And if so, could you talk a little bit more about that? Thanks.
Lainie Goldstein: So the update for Rockstar is based on the momentum in their current business. So there's some GTA 5 unit sales, some the Red Dead updates and some virtual currency with the GT Online updating. So it's just overall reforecasting of the business.
Benjamin Soff: Okay. Got it. And then just can you talk broadly about the competitive environment in the industry and whether you think it will be sort of at this level more competitive, less competitive, six months or 12 months from now?
Strauss Zelnick: I think it will be about the same. It's always hard to know. It's a very competitive business at any given time. But ultimately, we're really competing with ourselves because if there's a lot in the market that consumers want, generally speaking, they'll go consume it. And if there's nothing that they want, it's not like they consume the next best. They just stay away. So we have to deliver the highest quality properties. And if we do that, they'll show up in good times and in bad. I mean you're seeing that even in a mixed economy. The best titles still full big audiences.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing comments.
Strauss Zelnick: I just want to take a minute to thank our teams again for delivering a superb quarter, and we're really thrilled with the way this year is unfolding. Our titles continue to be a phenomenal quality. We're really excited about our upcoming releases. And obviously, very excited about the future beyond this fiscal year. And we also want to thank all of you for attending the call for your great questions. And naturally, we're grateful to our shareholders for their continued support. So thanks so much, and have a great evening.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you again for your participation.